Operator: Welcome to the Acorda Therapeutics Third Quarter 2013 Financial Results Conference Call. [Operator Instructions] Please be advised that this call is being taped at the company's request. Now, I would like to introduce your host for today's call, Jeff MacDonald, Senior Director of Corporate Communications with Acorda Therapeutics. Please go ahead.
Jeff Macdonald: Thank you. Good morning, everyone, and welcome. With me today are Dr. Ron Cohen, our President and Chief Executive Officer; and Mike Rogers, who joined Acorda at the beginning the month as our Chief Financial Officer. Before we begin, let me remind you this presentation includes forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. All statements other than statements of historical fact, regarding management's expectations, beliefs, goals, plans, or prospects should be considered forward-looking. These statements are subject to risks and uncertainties that could cause actual results to differ materially, including our ability to successfully market and sell AMPYRA in the U.S., third-party payers, including governmental agencies may not reimburse for the use of AMPYRA or other products at acceptable rates or at all, and may impose restrictive prior authorization requirements that block or limit prescription. The risk of unfavorable results from future studies of AMPYRA or from other research and development products including Diazepam Nasal Spray or any other required in licensed programs, we may not be able to complete development or obtain regulatory approval for or successfully market Diazepam Nasal Spray or other products under development, the occurrence of adverse safety events with their product, delays in obtaining or failure to obtain regulatory approval of or successfully market AMPYRA outside the U.S. and our dependence on our collaborator, Biogen Idec, in connection therewith, competition, including the impact of generic competition on ZANAFLEX CAPSULES revenue, does impact our intellectual property to defend against -- intellectual property claims of others or to obtain third party intellectual property licenses needed for the commercialization of our products, failure to comply with regulatory requirements could result in adverse action by regulatory agencies and the ability to obtain additional financing to support our operations. These and other risks are described in greater detail in Acorda Therapeutics' filings with the SEC. Acorda may not actually achieve the goals or plans described in its forward-looking statements and investors should not place undue reliance on these statements. Forward-looking statements made in the presentation are made only as of the date hereof, and Acorda disclaims any intent or obligation to update any forward-looking statements as a result of developments occurring after the date of this presentation. As a reminder, during the Q&A session, please limit yourselves to one question and one follow-up. Now I'll turn the call over to Dr. Ron Cohen.
Ron Cohen: Thanks, Jeff. Good morning, everyone, and Happy Halloween. Before we begin, I would just like to say that in honor of the holiday, and of Mark Schoenebaum I'm wearing a Velociraptor mask over my hair, so if you can get that visual, we will go from there. As Jeff mentioned, we're welcoming our new CFO, Mike Rogers, to his first quarterly call with us. We're delighted to have Mike join our management team. He's an experienced biotechnology CFO and most recently served as CFO of BG medicine and prior to that, you was CFO of Indevus Pharmaceuticals until the company's sale to Endo. Dave Lawrence has been appointed Chief of Business Operations. Dave will now be responsible for managing and building our business operations and infrastructure which are critical to supporting our growth. On today's call, I'll provide an update on AMPYRA and discuss our product development programs and Mike will provide the financials for the quarter. After that, we will open the call for your questions. Beginning with AMPYRA. For the third quarter, net sales were $77.8 million, an 11.5% increase compared to the same quarter a year ago. Through the first 3 quarters of 2013, net sales have increased 13% over the same period in 2012. We are encouraged by sales in the fourth quarter to date and we're narrowing our 2013 guidance to $295 million to $305 million. Moving to our pipeline. You're looking here at a slide representation of the pipeline in -- I'm going to go into detail in a number of these programs on upcoming slides. I just want to point out generally here that in addition to our commercial products, we now have 6 clinical stage programs versus just 1 in 2011. Now this progress reflects the company's strategy of disciplined execution, advancing our in-house programs with trials that provide clear go no go signals, as well as judicious acquisition of new product opportunities. We're excited to be moving forward with a new once daily formulation of dalfampridine for post stroke walking deficits. There are approximately 7 million people in the U.S. alone who are stroke survivors. Half of these have chronic walking issues and there are no approved medical therapies to address this very important need. We expect to start a multiple dose PK study within the next few weeks to confirm the findings of an earlier single-dose study -- I should say an earlier single dose study that showed the QD formulation had the desired PK profile. We anticipate initiating a Phase IIb/III clinical trial in the second quarter of 2014 but this would be pending results of the new PK study and also coming to agreement with the FDA on the trial design. We've also advanced several of our other pipeline programs. The Diazepam Nasal Spray NDA filing is on track for this year with a potential commercial launch in 2014. Our second GGF2 trial in people with heart failure, that's chronic heart failure, is assessing the safety and tolerability of a narrower dose range compared to the first Phase I trial and it also includes several exploratory efficacy measures. Now recall, in the first GGF2 trial, there was a clear dose response on cardiac ejection fraction improvement that appeared durable for over 1-month following a single-dose. In April, we initiated a Phase I trial for rHIgM22, our remyelinating antibody for MS. Remyelination is emerging as 1 of the most promising potential treatments with MS and we are excited about being at the forefront of this new treatment approach. We also enrolled the first participant in a Phase II trial of the AC105 in September. AC105 is our proprietary magnesium formulation for the treatment of acute spinal cord injury. In preclinical studies, AC105 showed the ability to improve long-term function when it was administered within several hours after an injury. This trial is evaluating the safety and tolerability of a drug and it also incorporates several exploratory efficacy measures. We expect data readouts from all of these studies in 2014 and 2015. The NP-1998 is a new liquid formulation of capsaicin, which we acquired earlier this year together with the Qutenza capsaicin patch. Astellas, which has the rights to Qutenza and NP-1998 in certain other markets outside the U.S. is currently conducting a Phase III clinical trial of the patch to assess its use in the treatment of pain associated with diabetic neuropathy. This is a huge medical problem and a huge -- very -- a huge unmet need. Results of the Astellas trial are expected in early 2014. These results will help inform our next steps into how we develop NP-1998. After a thorough analysis of the dalfampridine extended release proof of concept study in cerebral palsy, we concluded that although there were some signs of biologic activity, the data were not stronger enough to justify additional clinical development and we will not be proceeding with additional CP trials. This underscores our strategy of disciplined investment in which we base our investments on clear go no go signals. We're disappointed that we will not be able to continue the program on behalf of people with CP, however, we must focus on advancing those programs with a data indicate a clear potential for benefiting patients, for example, in the post-stroke studies. I'll now turn the call over to Mike for review of the financials.
Michael W. Rogers: Thanks, Ron. And good morning, everyone. AMPYRA net revenue for the third quarter of 2013 was $77.8 million, up 11.5% from $69.8 million for the same quarter in 2012. For the 9 months ended September 30, AMPYRA revenue grew approximately 13% to $217.9 million, from $193.4 million in the corresponding period in 2012. FAMPYRA royalty revenue from sales outside of the United States was $2 million for the third quarter of 2013. Overall revenue from ZANAFLEX for the quarter was $2.7 million, including our own sales as well as product sales to Actavis and royalties received on Actavis' sales of generic tizanidine. Total operating expenses including $6.5 million in share-based compensation expense for the quarter ended September 30, 2013, were $73.5 million, compared to $67.1 million, including $5.6 million in share-based compensation expense for the same quarter in 2012. The increase in operating expenses is related to the overall growth of the organization to support AMPYRA and the dalfampridine franchise, the expected launch of Diazepam Nasal Spray and the development of our pipeline products. We are lowering SG&A guidance by $5 million in 2013 to $165 million to $175 million, based primarily on timing issues. And as a result of the decision to not move the CP program forward and some other adjustments to R&D programs, we've lowered our 2013 R&D expense guidance from $60 million to $70 million, down to $45 million to $55 million. It's worth noting that we expect R&D and SG&A to increase in 2014 as our clinical programs advance and we move closer to the potential launch of Diazepam Nasal Spray. Our financial position remained strong with cash and cash equivalents and investments totaling $349.4 million, an increase of $17 million versus last quarter. I'll now turn the call back over to Ron.
Ron Cohen: Thanks, Mike. So to summarize, AMPYRA sales are in line with our projections and we're narrowing our 2013 AMPYRA guidance to $295 million to $305 million. Our pipeline is advancing. We're planning to initiate a Phase IIB/III clinical trial of dalfampridine QD or once a day, in post-stroke walking deficits in the second quarter of 2014 using a once daily formulation. In addition, we continue to plan for a potential launch of Diazepam Nasal Spray in 2014. And GGF2, rHIgM22 and AC105 are all in active clinical trials. Our financial position remains strong with approximately $350 million on the balance sheet. And we have sufficient assets and revenue to invest in our promising pipeline and potentially, to acquire additional products that we believe will increase shareholder value. We'll open up the call for questions at this point. Operator?
Operator: [Operator Instructions] First question comes from Marko Kozul from Leerink Swann.
Marko K. Kozul - Leerink Swann LLC, Research Division: Ron, I wanted to quickly ask you a question about endpoints for the upcoming Phase IIb/III plus your deficit study. Could you talk a little bit about the Walk 12 Test and what it is and how it compares to the MS Walk 12? And potentially, any historical or general discussions you've had with regulatory authorities over this as a potential endpoint?
Ron Cohen: I can't get into details of the trial design until we come to agreement with FDA because we'd rather not speculate on where the agreement's going to come out. But I can tell you on, in terms of the Walk 12, so for those of you who followed us, in the MS trials, which were successful and got us the approval for the MS indication, one of the key outcome measures was the MSWS-12. That is a 12 item MS walking scale that is a patient reported outcome but it's very specific to activities of -- -- that rely on walking and each one is rated on a 5 point scale. That scale came out of Academia in the U.K. It has been widely published and is actually been used in several different conditions that are characterized by poor ambulation or walking disability and it's been quite robust. So it's a valid scale and it shows very nicely from 1 indication -- or 1 condition to another. So at this point, that scale is called -- I believe it's called, the Walk 12, so it's been taken out of any specific disease state because enough work has been done whether it's confidence to say that this is a very solid, all-purpose walking scale that can be applied to pretty much any condition that is characterized by walking impairment. And that's a scale that we like a lot. Obviously, it was successful for us in the MS trials and that's something we'll be discussing with FDA in the context of this study as well.
Marko K. Kozul - Leerink Swann LLC, Research Division: And Ron, just one quick follow-up. To your subsequent potential study for personal deficit, assuming regulatory discussions pan out as you plan. Can you give us any broad strokes on how long of a study that subsequent trial might be or any details that would be helpful?
Ron Cohen: It's hard -- yes, I would love to be helpful in that regard. Unfortunately, I'm hampered because until we have a final agreement and a final design, it's very hard to say how long it will take. You could -- this is not necessarily prologue. If you look back at our Phase IIIs and MS, they took each about, I think it was about 1.5 year, you can go back and look. I think it was about a 1.5 year to do each of those trials. I can't say with assurance that that's going to be the case here. We expect roughly and again, depending on the FDA, we expect roughly that this trial will have about 150 patients per ARM and that there'll be 3 ARMs so it'd be about 450. Again, subject to revision when we get final agreement, but that's the scope or the scale that we're considering.
Operator: Your next question comes from the line of Mark Schoenebaum from ISI Group.
Mark J. Schoenebaum - ISI Group Inc., Research Division: Ron, if you just -- perhaps, give us also -- you mentioned this in the prepared remarks, I apologize I came in like 3 minutes late, but is it possible to give us the volume versus price dynamics for the AMPYRA in the quarter, either on a sequential basis or year-on-year if you happen to have it? And then just -- when do you guys expect a paragraph for filing for AMPYRA? These things are routine but I just want to better understand timelines for that. And then just briefly, could you compare your remodeling any antibody to the antilingo approach at Biogen perhaps?
Ron Cohen: Boy, that's amazing. Its -- -- you mutated 3 questions into 1. That's tremendous. It's like magic. You should have a warlock costume today. So let me tackle those. I'm not entirely sure what you're asking with regard to price and volume. What I can say about this is I think it's a good opportunity to remind everyone that our quarter-over-quarters tend to be uneven because regardless of a given level of TRxs, we can have fluctuations of several million dollars from 1 quarter to the next that simply rely on shipping -- ordering and shipping patterns from the speciality pharmacies and that is not directly related to the overall TRx level. So if you're following an outside tracking service and you see certain levels of what the TRx is, and then you can't quite line it up with the revenue, that's why. Inventories are staying stable so that's in good shape. But even so, just to put a fine point on it, there are certain days that are high order days for the specialty formed pharmacies and certain days were there might not be any orders at all. If one of the high order days falls on the very last day of the quarter, for example, you can see a shift of several million dollars into 1 quarter versus the next quarter because of 1 day on the calendar, so that -- I thank that accounts for a good bit of the issues that you might be having out there. We're quite happy with the growth, they're within our projections. Our organic growth continues to be in the mid-single-digits, in terms of TRxs, so I hope that helps with respect to your question. On the paragraph 4 filers. Yes, it is routine. We expect it as of January 22, I believe, is when the paragraph 4 filers can begin to file. Something -- just to prepare people in advance, the way the system works, the FDA, as I understand it, has up to 60 days to accept those filings and then we become informed, that there is a filing so you and we may not hear anything specifically on January 22 or 23, but somewhere within that 60-day period, we would expect to hear about the filings. Just as a reminder, we have patents. We have several patents of the issued ones. The one that runs longest right now goes to 2027. We have others filed. We like our patent position and of course, we intend to defend it. And then finally, you asked about rHIgM22. The mechanism is different as far as we know from all of the published literature from -- for example, the antilingo antibody that Biogen is developing. Antilingo is thought to work by blocking an inhibitor in the nervous system that prevents myelination and therefore, produces an environment that is more permissive for myelination. The rHIgM22 antibody, which came out of the work of Moses Rodriguez and his team at the Mayo Clinic is very different. It's an IGM antibody and it targets receptors on the oligodendrocytes, which are the myelinating cells. So it is highly specific for the cell surfaces of oligodendrocytes and when it does so, it generates calcium mediated signals into the nucleus, up regulates several different factors which some of which we've identified, which are known to be proliferative factors, probably some antiapoptotic factors in there as well. The net effect of which is to directly induce or stimulate those cells to myelinate again. One of the issues that has come up in the literature on MS is that when you look at the CNS tissues of people with, for example, progressive disease or later stage disease, where they don't appear to have a natural remyelinating response anymore which most people with MS do earlier in the disease. But at some point, they lose the ability to remyelinate. That turns out that the oligodendrocytes are still there but for whatever reason, they're dormant and they don't turn on. So we like this strategy a lot, at least from the scientific point of view because the notion that you can stimulate them, wake them up and get them to remyelinate again offers the potential that you might be able to turn back the clock as it were in the disease state. So all of that is speculative. It's based an animal studies and in vitro studies. We're doing the first human study in people with MS with the antibody and we'll see how we do.
Operator: Your next question comes from the line of Michael Yee from RBC Capital Markets.
Michael J. Yee - RBC Capital Markets, LLC, Research Division: A couple of things and they are 2 as well just wrapped into 1 question about the AMPYRA, which is do you actually have an FDA meeting scheduled on the calendar? And what would actually define whether FDA would allow 1 pivotal study or 2? What is actually behind that decision, what drives that decision to do 1 or 2?
Ron Cohen: So, as you know, we -- historically, have never commented on when meetings occur, what they occur. What we do comment on is when we have written confirmations of material matters with the FDA. What we've said is that we expect to meet this -- before the end of the year with FDA and so I'll stick with that. And with regard to what will determine that, I would like to level set everyone on this. We believe that, as a matter of course and similar types of situations, that we would need 2 trials for a registration. Now, there are always exceptions and that's something that depends on specific discussion with the FDA and whether they are open to it or not. We will, obviously, make that case as part of our discussions but I would not guide to expecting that as an outcome. I think the history shows, that typically, you need 2. We do have a strategy in mind that potentially could shorten the time it takes to do those 2 trials but I can't go into more detail than that until we get agreement with FDA on that strategy.
Michael J. Yee - RBC Capital Markets, LLC, Research Division: Okay. And then on QD versus BID, what actually -- what did you actually do to forming a purity and to actually get to acuity formation? And do you have issued patents around that?
Ron Cohen: Yes. We have -- people should take as a matter of course that we filed patents on anything new that we do. The QD is novel. It's a novel formulation. We worked on it with an outside collaborator who specializes in these types of formulations and they did a great job in coming up with one that met our specifications. So that's really all I can say for proprietary reasons but it -- I guess, the essence of it is, this was done by a group that does this for a living and the initial PK study, which was a single dose met the specifications precisely. So we have -- we're optimistic about the multi-dose. Barring some real surprise, we expect to see what our projections show for their formulation.
Michael J. Yee - RBC Capital Markets, LLC, Research Division: Okay. And then just 1 last thing on the paragraph 4. Do you know if anyone has filed a DMF? Do you know anything in the channel out there? That probably will give us some insight.
Ron Cohen: I haven't -- I have no information on a DMF at this time.
Operator: Your next question comes from the line of David Amsellem from Piper Jaffray.
Unknown Analyst: This is Trevor Davis on for David Amsellem . So would you need a sales force headcount expansion to support the rollout of Diazepam Nasal Spray? And how should we think about promotional spend on that product?
Ron Cohen: Yes. We do not -- one of the nice things about the product and what was attractive to us about bringing it in is, that it leverages beautifully our current sales infrastructure. So, no, we will not need to expand that infrastructure. This will go right in the bag next to AMPYRA for the sales force and ultimately, Qutenza as well. We do need to prepare for a potential launch next year given our guidance about an NDA filing this year and people should expect significant investments in the pre-commercial spend in order to make sure that we have as good a launch as possible.
Unknown Analyst: And just a second -- switching gears. Do you have any method IP applications pending on AMPYRA and post-stroke? And do you also have IP pending on the once daily formulation? I think you kind of hinted at that but I just wanted to double check.
Ron Cohen: We have filed on both the stroke and the post-stroke indication and the QD formulation and we expect to continue to file as new material comes available.
Operator: Your next question comes from the line of Joel Sendek from Stifel.
Joel D. Sendek - Stifel, Nicolaus & Co., Inc., Research Division: Ron, I have to say to your answer to Mark's question rHIgM22 is the best description of MS disease methodology I've ever heard for a Velociraptor. I almost don't have and I'll limit myself to 1 question as a result. So I want to go back to the stroke data as it was presented and -- do you guys have any reason why in period 2 that AMPYRA did much better than it did in period 1 and whether that matters or the most important thing is to look at the overall, both periods combined?
Ron Cohen: Yes. The answer is detailed enough, Joel, that my recommendation here is that we save that for the R&D day, which we're having next week where we can go into more detail and we'll have some stroke experts there as well. Just -- an overall answer would be that the single most important data point in the study from our perspective is the one that we prospectively we're -- most interested in and that was the overall result of the study with respect to walking, which was as you saw statistically significant, taking all comers on dalfampridine versus placebo regardless of which period they were assigned to. So that is the -- I mean, that's the most -- I think the most valid way to interpret a crossover study. Now having said that, we saw that the drug did better than placebo on both sides of that and we'll go into more detail next week.
Operator: Your next question comes from the line of Yaron Werber from Citi.
Yaron Werber - Citigroup Inc, Research Division: I'm wearing my Red Sox hat right now and I'm pretty happy today.
Ron Cohen: That's very unfortunate. Aren't you based in New York? Do you not fear for your safety?
Yaron Werber - Citigroup Inc, Research Division: No one can see me. I'm hiding.
Ron Cohen: Well, listen, congratulations and we'll be back next year. That's all I could say.
Yaron Werber - Citigroup Inc, Research Division: I also have my Mark Schoenebaum costume ready for tonight. So. quick kind of question for you guys. Diazepam Nasal Spray. I know you kind of been hesitant to talk much about the market opportunity but as we get closer, and it sounds like you're going to file pretty soon. What can you share with us in terms of competitive landscape, market opportunity and kind of how do we think about it for you guys?
Ron Cohen: Yes. We will provide more color as we get closer. What we're able to say now is there are a number of other potential entrants that are out there. One of them is Upsher-Smith. They have an intranasal midazolam that they are working on. As far as we know, they are still in their Phase III clinical trials. And we're filing on a Federal 5 B2 because we're piggybacking onto the reference product. In this case, DIASTAT rectal gel of diazepam but of course, with diazepam is a different molecule so they're not able to do that. So they're still working on that as far as we know. We are currently ahead in that regard since we're -- we will have filed an R&D -- excuse me, an NDA this year. Pfizer is working on an intramuscular self-administered form of diazepam and that can be injected by needle. They announced earlier this year that they were going to file an NDA. We have no further information on that. It is an injectable, so it's something with a needle that you put into your thigh as opposed an inter-nasal formulation. The market itself -- we think is attractive. All we've been able to say, so far, and hopefully, we'll be able to give you more color later on, is that DIASTAT gel itself was at about $100 million at peak before it went generic. The problem with DIASTAT gel is that it only has been addressing a certain fraction of the addressable population, primarily children and small children at that because if you if you think about it, who's going to use a rectal gel? This is the parents or the caregiver with a small child, obviously, it's easier although not necessarily palatable to do that. But once you get to older kids and adults it's really very challenging to use and what people do is they default and go to the emergency room instead. So we see the value proposition here as one that not only allows a much larger swap of the population, actually, to have access to the therapy, but also one that could potentially put keep people out of the emergency room and have them treat at home or wherever they happen to be. That's something that we have not shown. It's purely speculative but it is something that at a minimum, you can say, it is a more convenient, much more palatable route of administration for this type of rescue for people with cluster seizures. So our view is that the $100 million that DIASTAT achieved would be a minimum for what the potential market is for this, and we think it could be significantly more but we are going to fill that in for you as we complete more of our market research, more of our work and get further into next year.
Operator: Your next question comes from the line of Geoff Meacham from JP Morgan.
Unknown Analyst: This is Carter on for Geoff. Ron, my question relates to the reimbursement dynamics you're seeing in the field. In the past, you've given color on the renewing of your tiering status and highlighted the rollback of PA requirements in some cases. Can you give an update on your progress on these aspects and some color on where you stand today?
Ron Cohen: Yes. The reimbursement profile overall is -- I would say, night and day from what it was a couple of years ago, which was, maybe 9 months after we launched and when payers began to impose their prior ops and their formulary regimes and so on. You may recall that at that time, we had some hard sledding for a while. It has been quite stable over the last year and the situation markedly improved in the interim -- in the intervening time. So when we go and we polled doctors or independent groups have polled physicians and they ask about it, the answers are night and day from what we got a couple of years ago. A couple of years ago, a majority were complaining of how difficult it was to get the drug approved. Now, a sizable majority say that it's fine. That access is fine and that's been our experience out there. We continue to do our work, by the way. We're still talking to payers. We still are in front of them. There's still a few out there who have harder regimes that we don't believe are constructive or justified and we have continued to have some success in rolling some of those back. Overall, I would say that at this point we're in a very stable position. We've managed care and that it is not inhibiting patient access to the drug, except in isolated cases.
Operator: Your next question comes from the line of Ram Selvaraju from Aegis Capital.
Raghuram Selvaraju - Aegis Capital Corporation, Research Division: So a couple of just financial related things and then one sales related item. I just wanted to make sure that you weren't expecting any revenue contribution this year from the products that you brought in from the Neuro G6 portfolio or is that not exact the case? Do you expect any revenue from those products this year?
Ron Cohen: Yes. Well, so, the only product that is approved and on the market of the ones we brought in is Qutenza, which is the capsaicin patch. And that still is on the market. We're going to come up to speed on that and get our sales force in good shape to detail that by the early part of, I'd say, by the first quarter. But it's still being sold. It's de minimis. I don't think people should expect to see anything material this year but there is some revenue coming in.
Raghuram Selvaraju - Aegis Capital Corporation, Research Division: Okay. And then the second question was with respect to the effective tax rates. This may be more of a question for your CFO. But I just wanted to know what the effective tax rate was this quarter and what we should expect it to be going forward?
Michael W. Rogers: Ram, I actually -- I don't know that off the top of my head but I'm very happy to get back to you specifically with the answer. Just getting up to speed on the tax -- the tax piece of this.
Raghuram Selvaraju - Aegis Capital Corporation, Research Division: No. I think that's an important assumption that we have to make, so we just want to be in the right ballpark. That's all.
Michael W. Rogers: Okay. I'll follow-up with you after this call.
Operator: Thank you. I would now like to turn the call over to Jeff MacDonald for closing remarks.
Jeff Macdonald: Thanks and I'll turn it over to Ron for some closing remarks.
Ron Cohen: Well, it's a flea flicker play on the field, ladies and gentlemen. Thanks for joining us. Happy Halloween and we'll see you next time.